Kiet Huynh: Good morning, everyone. Thank you for joining us. As we discuss our 2023 full year results. It's great to see so many of you here today. Alongside me is Jonathan Davis, and we also have Dorothy Thompson, our Chair; and Andrew Carter, Head of Investor Relations in the audience. We're also pleased to have Ben Peacock here today. Ben joins us on the 11th of March as CFO replacing Jonathan, who is retiring. So we've just got some technical difficulties. Okay. So before we go into the results highlights, I just wanted to take a few minutes to talk about the key drivers that underpins Rotork's medium and long-term growth potential and shows why we're confident that Rotork can continue to deliver mid to high single-digit revenue growth over time. Rotork divisions are extremely well placed to benefit from the industrial megatrend of automation, electrification and digitalization, which are accelerating. We've seen this in a number of our Target Segments, including the electrification of wellhead chokes in upstream Oil & Gas, the automation of fire damping systems in data center HVAC applications and digitalization for our Intelligent Asset Management tools to monitor our electric actuators for preventative maintenance and elimination of unplanned downtime. Sustainability is a key foundation of our strategy. Our technologies and solutions are key enablers for the energy transition, as well as our customers' increased focus to reduce their carbon footprint. A large number of our end markets are within high growth potential, sustainability driven markets such as water and wastewater, LNG, new energy markets including offshore winds through HVDC applications, carbon capture and hydrogen production. Rotork Site Services is also a key contributor to our growth. RSS is a key differentiator within the industry, with attractive margins it's growing faster than the group for many years, and we're confident it will continue to do so. Our Growth+ strategy encompasses all of these elements and in short we believe we have the right strategy to take us forward. Before I hand over to Jonathan to discuss the results in more detail. I want to share a few financial highlights with you. We delivered a very strong set of results in 2023, especially in the second half. Orders were up nearly 8% year-on-year on an OCC basis. Water & Power and Oil & Gas saw particularly strong order growth, with CPI orders also ahead, but reflecting slower activity in China. Having faced increased lead times for our PCBs at the start of the year we overcame these challenges as the year went on and accelerated in the second half to deliver full year results close to 14% OCC. Operating margins recovered strongly in the second half leaving full year margins up 60 basis points at just under 23%. We achieved this margin improvement whilst at the same time making Growth+ related investments in business development and business transformation to improve customer value. Return on capital employed rose year-on-year, and was close to 34% demonstrating the value creation of the business. We achieved excellent cash conversion and finished the period with net cash of £134 million, giving us the capacity for further bolt-on acquisitions as well as returning cash by share buyback. Moving to the non-financial highlights, we're pleased to have made a significant year-on-year improvement in our lost time injury rate as well as receiving a AAA rating from MSCI ESG. After we hear from Jonathan, I'll provide an update on Growth+ before ending on our outlook. Over to you, Jonathan, for more details.
Jonathan Davis: Thank you, Kiet, and good morning, everybody. I'm particularly pleased this year to report another year of strong growth, resulting in record orders, revenue, and adjusted operating profit. Order intake in the year was 7.8% higher than the prior year on an organic constant currency, or OCC basis, and exceeded revenue. Orders in all divisions were higher, with Water & Power leading the way. Revenue was £719 million, or 13.6% ahead of 2022, with deliveries accelerating in the second half as expected. Currency in the year swung from around a 2% headwind in H1 to a 5% -- 2% tailwind in H1 to 5% headwind in H2. The full year, 2% headwind reduced revenue by £12 million and adjusted operating profit by £4 million. Adjusted operating profit was £164 million, 17.3% higher than the prior year, and margins were 70 basis points higher on an OCC basis. Return on capital employed rose 260 basis points to 33.9%. Adjusted earnings per share was 14.6p, a 17% increase. Cash conversion was 120%, reflecting a similar profile of sales in the run-in to the year end as last year but with a reduction in inventory levels through the year. The proposed final dividend is 4.65p, which will take the full-year dividend to 7.2p, 7.5% higher than the prior year and 2x covered on an adjusted earnings basis. In addition, we will return £50 million to shareholders via a share buyback in accordance with our capital allocation policy. We still retain a strong balance sheet and maintain our M&A ambitions for the coming year. We slightly revised the financial section of the results presentation. The information previously provided on each division can be found in the appendix. All 3 divisions saw growth in orders and revenue in the year. Oil & Gas revenue grew 16.6% OCC and was the fastest growing division. Within Oil & Gas, upstream grew fastest, benefiting from activity in upstream electrification, and upstream is now 27% of total Oil & Gas sales. The benefit of volume growth and positive pricing, together with a positive mix effect, more than offset the cost of investments in the division. These factors in combination drove adjusted operating profit up 32.7% to £83.6 million and margins 290 basis points higher to 25.5%. CPI revenue grew 9.7% OCC, despite weakness in a number of regions, including China. The target segment strategy and focus on the critical HVAC, battery-related mining, specialty chemical and decarbonization markets continues to pay dividends and drove the near double-digit growth. Geographically, Asia-Pacific was the fastest-growing region despite the weakness in China process markets. India and Southeast Asia process markets, which includes battery-related mining, and China chemical, grew strongly. Just as we saw in the first half, particularly strong revenue growth in fluid power actuators contributed to an adverse product mix, and even with improved labor productivity, gross margins declined. With the pace of investments and increase in overheads matched to revenue growth, adjusted operating margins declined 180 basis points and are now 24%. Water & Power sales grew 13.3% OCC, and following several years where water sales growth outpaced power, this year both grew at similar rates. This division was most affected by the shortage of chipsets and the impact this had on costs in previous years. With the situation normalizing in 2023 and costs reducing, Water & Power has benefited the most. This, in combination with a strong volume growth, has meant a 120 basis point profit margin increase and 19% increase in adjusted operating profit to £46.4 million. Finally, Rotork Site Services, which you will recall is part of each of the 3 divisions, grew slightly ahead of the group as a whole, up 15.1% OCC and remains 21% of group revenue. This OCC adjusted operating profit bridge highlights the positive contribution from both volume and price in the period. In 2022, we talked about 2/3 of the revenue increase being attributable to price. But in this year, the reverse is true, with around 1/3 of the revenue increase being price and 2/3 being volume. Net price mix here reflects benefit from price increases over and above the impact of component cost increases, net of sourcing savings, as well as the normal elements of product and geographic mix. Direct costs, those above gross profit are £14 million higher than the comparative period, driven largely by higher people costs, which in part support the higher volume. The £27 million investment stroke overhead increase is also nearly entirely related to higher people costs. So the £25 million of net price mix benefit covered the unusually high labor inflation and any material cost increases. The higher volume funded the investments in growth plus, and has led to higher margins, with the adjusted operating margin 70 basis points higher, at 23% on an OCC basis. The currency headwind then trims the margin by 10 basis points to 22.9%, as a result of the disproportionate sterling cost base, which isn't reduced as sterling strengthens. We started the year with net cash of £106 million, which has increased to £134 million at the end of the year, a good cash conversion of 120%. Working capital in total was a £3 million outflow, but net working capital as a function of sales reduced from 28.7% to 27.3%. Trade receivables increased slightly from 20.9% of sales to 21.3%, a £15 million outflow. But the wage profile has improved and the day sales outstanding has reduced from 58 days to 55 days. Inventory is a £5 million inflow and dropped from 14.5% of revenue to 11.7% as supply chain challenges of recent years have diminished. The 2 largest outflows in the period were the £59 million dividend and £33 million of tax. However, we have also funded the £20 million pension scheme buy-in and £18 million acquisition of Hanbay. The CapEx shown here relates to PPE, now that costs in respect of the business transformation program are expensed rather than capitalized. More on that on the next slide. Looking at the items below operating profit in the P&L for the year, they are largely the same as last year. Gains on property disposals come from the sale of the last 2 locations vacated as part of the footprint optimization program under Growth Acceleration Program. Business transformation costs are the cost of the multi-year program to implement and integrate common systems and processes throughout the group, including the new cloud-based ERP system. These costs are no longer capitalized, so we report them as part of these adjustments. The new ERP system successfully went live in Bath in February 23, and for head office companies in H2. Activity to roll out to other sites is now underway. The other costs are largely the fees associated with the pension buy-in and the Hanbay acquisition. Finally, adjusted effective tax rates have moved 60 basis points higher this year to 24.5% as a result of the higher U.K. tax rate and the mix of worldwide profits. In 2024, the introduction of the OECD's Pillar Two framework will drive a 30 basis points increase in the group effective tax rate. In total, we anticipate the 2024 effective tax rate will be between 50 and 100 basis points higher. Looking for a moment at our performance on sustainability this year, we are making good progress on our Scope 1 and 2 emissions reduction initiatives and achieved an 11% improvement in the year. We continue to decarbonize our estate, for example, installing on-site solar at our Gimpo, South Korea facility. We have integrated sustainable product requirements into our design process with the goal of all new products having improved energy efficiency, greater recycled material content and being more readily recyclable. We are also finding ways to incorporate our sustainable product requirement approach into existing product ranges. Our products and services are also enabling the energy transition. Examples here include upstream electrification, the IQTF electric actuator controlling wellhead pressure, in the battery value chain, including in cell and pack production plants and in the growing green hydrogen space. We are pleased to have our efforts recognized by external agencies, particularly to be rated AAA by MSCI ESG, up from AA previously, and to be once again industry top rated by Sustainalytics. So, Rotork is not only delivering financial returns but also delivering sustainability. Moving to guidance for the current year, we are expecting CapEx spend in 2024 to be higher than 2023 and based on today's rates, currency to be a headwind. If the current rates of $1.27 for dollar, EUR 1.17 for euro and RMB 9.1 for renminbi were to remain for the balance of the year, we estimate the headwind to be circa 2.5% to revenue and just over 3% to profit. In total, CapEx will be circa £20 million with the base spend similar to 2023, but with an additional £5 million on the completion of our new factory in China. Spend on the business transformation program and ERP rollout will also increase this year, rising from £14 million to around £20 million. As we look at the year ahead, orders at the start of this year have been encouraging, although we will be lapping some tough comps in the first half of the year. We started 2024 with a strong order book that is around the same level as we started 2023. This is still higher as a function of prior year order intake than it was before the supply chain challenges that followed COVID. Now that supply chain challenges have abated and with our customer value initiatives which will reduce lead times, there's an opportunity for the order book to normalize. So in summary, we enter 2024 well positioned to deliver another year of strong financial returns and further progress on our sustainability journey, together with the cash generation to fund our investments and the £50 million buyback announced today. I'll now hand back to Kiet for the last time.
Kiet Huynh: Thank you, Jonathan. I'll now provide an update on Growth+ before turning to the outlook. We're pleased with our progress in 2023 and our results demonstrate the success of Growth+. As a reminder, Growth+ has 3 pillars, Target Segments, Customer Value and Innovative Products & Services. Each of these pillars are underpinned by strategic initiatives to drive performance and growth that we expect. The plus element covers key areas in addition to growth, items linked to delivering a sustainable future that benefits all our stakeholders. Within our Target Segments, within each of our divisions that have significant profitable growth opportunities and where we have the right to play. And I'll provide some examples of our target segment in action over the following slides. Moving to Customer Value. Our goal here is to deliver seamless customer experience, along with our market-leading products. This will be achieved through initiatives to improve customer service responsiveness and provide class-leading quote and product lead times as well as on-time delivery. This will allow us to access new markets and build share in existing markets. And finally, Innovative Products & Services. Innovation is the lifeblood of Rotork. We are focused on developing products aligned to our target segment and the key megatrends I described earlier. Our new products will be focused on digital and connectivity and contribute towards our enabling a sustainable future foundation. The target segments within Rotork make up around half our business and tap into the key megatrends of automation, electrification and digitalization. We estimate the combined market growth of our target segment is high-single-digits, and we believe we can outgrow these markets. Last year, our Target Segment sales grew at 15% OCC. So here are some examples of our Target Segments in action. The first is within Oil & Gas, where we further developed our methane emissions reduction initiative to now be a broader segment, which we call upstream electrification, and I'll provide more examples and details in the coming slides. Success in Oil & Gas in 2023 includes establishing ourselves as the leading electric actuator brand for choke valve on North American upstream wellheads. The second example is within the battery production value chain, which spans across our chemical and process segments, an exciting market that offers large potential growth opportunities within CPI. We are targeting this value chain through the following: the metals and mining industry that extracts the raw material, the speciality chemical sector involved in the production of battery cells, and finally, through the critical fire damping HVAC applications within battery cell and battery pack production facilities. Finally, in Water & Power, we've made significant progress in strengthening our position in water infrastructure applications. In 2023, we secured one of the largest water contracts in our history, enabling the transportation and distribution of potable water to a new town in the Middle East using our actuator and gearbox packages. We first discussed our methane emissions reduction initiative at Capital Markets Day. Since then, the Rotork IQTF electric actuator has become the leading electric actuator on new wellhead choke valves, replacing manual controls such as hand wheels. This electrification enables the remote and automatic control of the choke, which helps reduce or eliminate flaring downstream. Elsewhere on the production well site, electrification has been steadier with pneumatically operated actuators still regularly used. With the commitments made at COP28, EPA rules and industry commitments, we believe these have the potential to accelerate the electrification of the whole well site, which you can see on this slide. In addition, there are 2 stages prior to the production, which we provide -- which we think provide further opportunities for Rotork. These are the completion and flowback stages. They are valve intensive and therefore, increases the market opportunity for Rotork in the medium term. I'd like to spend a few minutes to discuss CPI in more detail and explain why we're excited about the growth potential of this end market. CPI supplies specialist actuators and instruments for niche critical process automation. Our actuation offering is essentially the same as other divisions, i.e., electric and fluid power. The instruments offering includes small instrument valves such as solenoids, controllers and measurement devices such as position sensors. As well as the megatrends of automation, electrification and digitalization, decarbonization is another megatrend that applies to all CPI's markets. As part of CPI's approach, the team have identified several growth strategies within their target segments, 2 of which I'll discuss today. The first is structurally growing markets. The commercial team within CPI have a strong track record of identifying markets and applications that are growing faster than the broader markets due to structural growth trends and converting this into new business. Examples include the entire battery value chain as described earlier, speciality chemical, critical HVAC and pharmaceuticals. The second is what the team call share gain opportunities. These are typically newer markets to CPI where we have a strong product differentiation but market share is still relatively small. With our product positioning and business development skills we've demonstrated that we can make meaningful and take meaningful market share in these markets. Example markets here include speciality chemicals and critical HVAC applications to include semiconductor and data centers. The key end markets served by CPI and their indicative sizes are shown on the pie chart. Chemical consists of speciality chems and other chemicals including petrochems and gas separation. Process consists of metals and mining, critical HVAC to include semiconductor and data centers, pharmaceuticals, steel and cement. We also sell to other process automation companies which we've called process other. Industrial as you can see is a very small part of CPI. In summary CPI is very well positioned. The division serves a broad range of end markets. Sales have grown 11% CAGR over the last 3 years with plenty of opportunities for further growth in the medium and long term. You may remember that we talked about progress under the innovative products and services pillar at the interims. This time, I'd like to talk about our customer value initiative. We've made good progress with our commercial go-to-market and global supply chain excellence programs and we will start to see the benefits of our global transportation program in the months ahead. Key to customer value are 3 things; people, processes and systems. By focusing our efforts on these areas we aim to deliver superior customer value by quoting promptly, being responsive throughout the whole sales process and delivering the right products to the right place at the right time, altogether a seamless customer experience. The first 6 months of Growth+ was about understanding where we were, where we want to be and how we will get there. Having completed this important stage we're now into business implementation. Business process re-engineering is underway as is our people training. We've also rolled out Microsoft D365 to our largest factory in Bath, and to our PLC functions. We're very pleased with how our customer value initiative is progressing, whilst being aware that this is a marathon not a sprint. With full implementation taking several years and benefits becoming increasingly apparent as we progress. Before turning to the market outlook, a reminder of our capital allocation priorities and framework. Given our returns profile, our first priority, as you'd expect is organic investment. We regularly challenge our teams to think big. What would they do, if we allocated them more capital? Our next priority is our ordinary dividend which we have raised every year for over 20 years. Next is strategic investment. We believe disciplined bolt-on M&A can support and potentially accelerate our strategy whilst at the same time contributing to shareholder returns. And finally, if at any time we consider ourselves to have excess cash, we will look to return it. Consistent with this capital allocation framework, we have today announced the return of £50 million via share buyback, whilst retaining the financial flexibility should the opportunities within our M&A pipeline convert. Turning to the market outlook and starting with Oil & Gas. During 2023 the Oil & Gas industry invested to increase output particularly in North America and Middle East, improve productivity, reduce emissions and decarbonize through projects in carbon capture and storage and alternative fuel production. Gas and LNG related sales represented close to half the division sales in the year. Looking ahead hydrocarbon prices remain above investment incentive levels. Whilst mindful of macro uncertainties we see good levels of activity continuing as industry tackles earlier underinvestment, manages energy security risks and steps up electrification. Moving to CPI. Hopefully today's update makes clear why we're excited about the division's medium-term growth opportunities. Decarbonization is increasingly important driver to CPI's target segment strategy and has identified markets that are fast growing and ones where we're underrepresented. By being nimble and focusing our efforts we believe we can outgrow. And finally Water & Power. The global water sector is firmly in investment mode building new and modernizing existing infrastructure as well as managing climate related challenges and potable water shortages. Efficiency and digitalization remain key focus areas. The power segment within Water & Power experienced increased activity in 2023. Looking forward we see good prospects for emissions related spend including carbon capture and storage with traditional fossil fuel markets stable. Turning to the summary and outlook. Rotork is a first-class engineering group and market leader with a strong purpose keeping the world flowing for future generations. We have a fantastic commercial product and service offering with great opportunity to create value for all stakeholders. We are committed to sustainability and will play a significant role in the flow control intensive, new energies and technologies that deliver a decarbonized economy as well as greater energy security. We continue to make significant progress in 2023 and delivered another year of strong organic sales growth and margin improvement. We delivered an excellent cash flow performance and finished the year with a strong balance sheet. We retained the capacity for further bolt-on acquisitions and have today announced a £50 million share buyback. We published the following outlook this morning. We remain confident of delivering our financial ambition of mid to high-single-digit revenue growth and mid-20s adjusted operating margin over time. Based on momentum in the year so far, and supported by the strength of our order book we continue to expect 2024 to be another year of progress on an OCC basis. Thank you again for your interest in Rotork. Before we open the floor to your questions on behalf of everyone at Rotork, I want to thank Jonathan, who will be stepping down as Group Finance Director and from the Board in April after 21 years with the company. Over his time at Rotork, Jonathan has overseen significant profitable growth and we all wish him well in his retirement. On a personal note, I'd like to thank Jonathan for his support throughout my time at Rotork, especially as CEO. So thank you Jonathan and all the best for the future. We'll now open the floor to any questions.
Q - Stephan Klepp: It's Stephan Klepp from HSBC. 2 questions if I may. So the first one on order intake. So I mean you delivered in line with expectation on KPIs, but orders came in a bit short and weaker in the second half. Can you talk us through what's happening there on Oil & Gas and CPI? And then secondly M&A related. I mean, you mentioned that, you have the firepower for both try buyback M&A. But what exactly would you look at in M&A. What are the let's say white spots in your -- in your strategy that you would like to fill with acquisitions?
Kiet Huynh: Okay. I think for the order intake the way I would look at 2023 is actually we had a very strong H1. So because of the long lead times on our products, a number of our customers were ordering in the first half to have deliveries in the second half. So that's what skewed the profile of the orders within H1 in 2023. Underlyingly, we still feel confident about our end markets and that's backed up with momentum that we've seen going into 2024, and order and also going into 2024. We have a strong order book. So that's what I would say to the first question. In terms of our M&A pipeline. As you've seen today, we have announced our £50 million share buyback. However, we still retain the financial flexibility for our M&A pipeline and that pipeline is healthy. We're pleased with our pipeline. It essentially consists of bolt on M&A opportunities and predominantly with private companies. So owned and managed. And whilst we work hard to cultivate these, you can never predict when they will convert. But the pipeline is healthy, and we're very pleased with that. It also contains as what I would say opportunities such as Hanbay which what I would call portfolio gap fillers. Strategic important products that we could decide to make, but it's actually faster to buy to take market share. And then we also have adjacent opportunities for example within sensing equipment. So there's a blend of adjacency and also portfolio management.
Lushanthan Mahendrarajah: It's Lushanthan Mahendrarajah from JPMorgan. I've got a couple if that's okay. The first one's just on those target markets. I think they grew 15% last year. Obviously, the group as a whole was 13.6% and it's 50-50. So that sort of implies the target markets grew about 300 basis points or so faster. Is that how we should think about that run rate going forwards versus the rest of the business or do you think that could accelerate given some of those trends?
Kiet Huynh: Yes. I think that -- the Growth+ strategy and within that the target segments were really designed to deliver the mid to high single digit revenue growth. And so for we've identified target segments within each of the end markets, where we think are growing faster than the rest of the market. I mean, as I said in the presentation, we believe the combined sense was high -- high-single digit. And our aim is to outpace that. And in doing so, we can overcome, let's say a softer general GDP growth. And that's the design. So then in aggregate, we can grow mid-to-high-single digit. And that's how we think of it. I wouldn't say, it was linear year-on-year but the thought process is that we will outgrow within our target segments to continue to deliver on our financial ambition.
Lushanthan Mahendrarajah: Okay. And the second one is just around the ERP system implementation. Obviously, you're about to begin the rollout more globally. Is there a way you can quantify that benefit, whether it's a margin benefit, or is that already included in your mid-term guidance, or is that, I guess, outside from the ERP implementation?
Kiet Huynh: Maybe I'll answer this and you can go.
Jonathan Davis: Yes. Okay, you go first.
Kiet Huynh: Yes, I think the ERP implementation is a number of things. We talked about our customer value initiative providing seamless customer experience, and this is going to be a key part of that. At the moment, we have a number of legacy ERP systems. And they're approaching the end of their lifetime. So we're going to have to update those anyway. So we took the approach of standardizing on 1 platform. And when we do, we're able to then therefore create a seamless interaction between our sales entities and our factories, which will provide the customer with faster quoting, faster information on their request. So that's what I would say is a key part of the return for the ERP. Do you want to add?
Jonathan Davis: Yes, so the benefits come through both in terms of customer service, which is hard to quantify specifically, as well as improved efficiency and processes and controls within the business internally. So there's a wide-ranging set of benefits, but no, there's no value put on them. It's incorporated within our overall targets, as you rightly said.
Margaret Schooley: It's Maggie Schooley from Redburn Atlantic. I had 2 as well, if you don't mind. First, just at very high level, the recent events in the U.S. where they've paused LNG export project sanctions approval, clearly, I think everyone would kind of want to know how this affects you. I know it's a little bit longer term, maybe '25, '26, but what you're thinking about that and where other geographies may potentially make up the shortfall? And then secondly, CPI growth was below that of the other 2 groups. And you very helpfully put that slide up where you outlined all the different end markets. But if you could give us some color, if you can, on which ones are doing better, which ones are doing worse, and I guess then we can go away and expect where we think that should rebound or not?
Kiet Huynh: Yes. In terms of LNG, since those announcements, we spent a lot of time with our end users and EPCs. So we've seen a number of the top end users and EPCs. And we've asked them the question, actually, how would this affect them? At the moment, none of them have come back to say that they were anticipating any delays in their projects. And to be honest, the projects coming through in '25, '26, I think they're already too far on. And so far we don't expect any delays in projects in LNG based on those. In terms of CPI, I think for us, the CPI market, fantastic market, they're very used to targeting high growth markets and they have been doing that for the last 3 years or so. Right now, I think where we've had a lot of success and what we've seen over the last 2 to 3 years is that battery production chain. So that spans across the 3 markets. So metals and mining has been good for us. The speciality chemicals involved in making the electrolytes, the materials for the cathodes, the anodes, they've been increasing. And then the HVAC, the critical HVAC control, which is in the damping of fire suppression, that's also been really, really good for us. So that's an example of how the battery chain has been really, really good and really successful across chemical and in process. The kind of 1 area that has been slow for CPI is China. So China sales within CPI has been slower, and I think that's the 1 area. So when that comes back on, I would expect CPI to start accelerating again.
Jonathan Davis: And that was the China process bit specifically, so things like tyre, farmer, paper and maybe the bits that are in there. There are other elements that are China that actually were still growing within CPI through last year.
Kiet Huynh: And work our way across this way.
Aurelio Tejedor: Aurelio Calderon from Morgan Stanley. The first question is on pricing. If you can talk about what you did, what you achieved in '23? And also how those negotiations have been going in '24? If you have implemented your usual general price increase and how you feel the price cost equation looks like in '24?
Kiet Huynh: Yes. So in '23 we put in circa 2% to 3%
Jonathan Davis: Fraction higher wasn't it?
Kiet Huynh: Fraction higher, yes. And you can see we grew volumes so Rotork being the leader in our market has good pricing power, the pricing sticks and we've demonstrated that by having that pricing stick and being able to grow volumes at the same time. So in 2024, we've put through similar price increases, and we expect that to stick as they have done in terms of 2023. And the philosophy really is, pricing covers inflation in terms of material inflation and labor inflation. Sorry, Jonathan, I'll let you answer some more since you're the last one.
Jonathan Davis: Absolutely fine. And obviously, the split of revenue growth we gave is the reverse of the prior year. So it is back to being largely volume in 2023.
Aurelio Tejedor: And second question is, you talk about normalizing supply chains and PCBs and so on. Have you seen any market share shift when supply chains were tight or when supply chains are now easier? Any sort of flow back from you to others or the other way around?
Jonathan Davis: Not in 2023. We saw some elements of that in early stages of '22 when things started to kick-in as some people held more inventory at that point than others. But no, not since then. So nothing in '23 or into '24 that really ties in with that. Do you want to just pass along?
Colin Moody: Colin Moody, RBC Capital Markets thank you for the presentation. I thought it was very encouraging that you reported good order activity, order winds and the kind of methane reduction in North America. I remember the Capital Markets Day back in 2022, you put a very big adjustable market out there up to 2040. I just wondered if you considering, kind of tangible order wins you've had here and the kind of, extra opportunities you've highlighted now going forward, can you perhaps give a little bit more color and when that starts to kind of become material, kind of timelines on that and perhaps the overall now adjustable market with the kind of extra bits added in?
Kiet Huynh: Yes, I mean, we haven't guided to absolute numbers in terms of upstream methane reduction initiatives, but I think you can see in the appendix slides that upstream has grown and North America has grown. So I think that, that correlates to that growth. The slides and the numbers we put up at Capital Markets Day with the market size sizes at maturity. We believe that with the announcements made at COP28 and the EPA rules, we think that that could help accelerate the electrification within the numbers that we presented at Capital Markets Day. We have made really good progress with the wellheads. But further on the well site pneumatic actuators are still news. But with COP28 we think that that could change. So that's 1 area. So 1 area is accelerating more towards electrification. The other area is actually at Capital Markets Day, we didn't mention the other 2 stages prior to the production well site, which is the completion stage and the flowback stage. And again, with the announcements in COP28, we believe that those markets have good potential to electrify. It's early days at the minute. And so that's why we're saying that's good medium term and opportunity for Rotork. And that is expanding the market size potentially for Rotork.
Colin Moody: Great. Thanks for the clarity. Just a quick 1, again on supply chains. Any impact yet from the Red Sea or anything like that?
Kiet Huynh: We've seen a small impact from the Red Sea. I think lead times went out about 3 to 4 weeks. But that was really towards the end of last year start of this year and things have normalized to that now. So we can overcome that.
Mark Jones: Mark Davis Jones from Stifel. If I can just follow-up on some of those Oil & Gas ones. Obviously, this accelerating electrification of the upstream is principally a good thing for you. But are there any products on the older pneumatic portfolio that might suffer in that. I'm assuming the size things as robust are not going to electrify anytime soon?
Kiet Huynh: Yes, we didn't really have product upstream has been relatively underplayed for Rotork just because we didn't have equipment that went on the upstream processes. So actually, in terms of electrification, that is more new sales with virtually zero cannibalization.
Mark Jones: Great. And then, in terms of Oil & Gas prices being comfortably above incentive levels, that's clearly true for most of your world. But European gas prices have been very weak and are back below COVID lows. Any risk that impacts the appetite for investment there?
Kiet Huynh: I don't believe so. I don't believe so. And I don't think the numbers really show any slowdown in terms of that, at all.
Jonathan Davis: No. And I think there are other drivers involved in security as well. So we've not seen any evidence of that having an impact at this stage.
Mark Jones: Great. And one final detail one, you mentioned offshore wind and HVDC. I might have missed it, but what's your play on that?
Kiet Huynh: So, within -- and apologies, I'm going to have to use my engineering head. So within offshore wind, the offshore platforms are quite far away from the shore, and they're making electricity in AC. When you transfer -- transport the AC to onshore, it's very inefficient. So they convert it to DC to transport it. That creates a lot of heat. And so there's a lot of cooling within that. Therefore, there are a lot of valves and actuators. So we're supplying the electric actuators to cool all of those systems.
Rory Smith: It's Rory Smith from UBS. I've got 2, firstly, going back to that upstream electrification piece. I think you've said in the past that your market share there is roughly 50%. Firstly, is that still right? And secondly, is the other 50% another player in electric actuation, or is it a competing technology for the removal of methane from the wellhead?
Kiet Huynh: Yes, on the wellheads, we believe it's roughly 50%. And it's us at 50% and then split across a number of players. So it's fragmented.
Rory Smith: Perfect. And secondly, a broader question, you've talked about data centers potentially being part of semiconductors and CPI. You've talked about this HVDC as part of renewable energy. Clearly, in an electrified world, there are still applications for flow control, of course. And some of those growth opportunities that you can get quite excited about are the sort of total addressable markets, whereas potentially in the past we've just talked about the kind of 3 key buckets for Rotork. How are you going to balance that pursuit of growth against the sort of already high but potentially higher returns that you could make over the next few years? And I'm asking you about margins without asking you about margins.
Jonathan Davis: How do we unpacked that one? I guess, we're looking. These are largely CPI applications, and I think, as Kiet tried to show in the chart, CPI access is a tremendously broad range of end markets. And we've clearly bucketed a whole load together rather than getting -- well, I've already mentioned tyre manufacturers and pharma and other bits that weren't on the slide. I think it's always going to be a mixed issue. I think we understand, and we've talked to you in the past about there are different products within our portfolio that come in at different margins. Those of you who remember the old divisional structure and my comments earlier will recognize that fluid power actuators are at a lower margin level than both electrics and instrumentation. So I think, depending on where those opportunities are, it's going to have a mixed impact on margins as well. I'm not entirely sure that answers your question, Rory, but you lost me somewhere.
Kiet Huynh: Let me -- so I think we will balance investments as we grow. And you can see that actually, in terms we put it through to cover inflation, material, and labor. The growth funds the investment, and we'll balance that investment to deliver margin progression as well as invest the right amount into growing the business. The investments are largely in areas of business development where we will identify new markets and therefore need product expertise to be able to get us access in that market, and also in engineering to innovate. So that's how we think of it. So still investing, whilst balancing the margin progression. The strategy has been designed, so that, it access the trends of electrification, and therefore, we expect the mix to improve as we grow. So as we grow into the likes of critical HVAC offshore wind, and we sell more electric and instrumentation, we expect that the margin mix should get better over time as well.
Jonathan Davis: And I think as we've said in the past, it's the electric piece that is the Rotork strength that is the flagship product and therefore, with electrification that is going to be where we would expect to see more growth.
Rory Smith: Brilliant and congratulations Jonathan.
Andrew Douglas: Andrew Douglas from Jefferies. 3 questions, please. Well, a few follow-ups, but 3 questions. You talk in the present -- that's 5. The presentation you talk quite a lot about intelligent flow control and intelligent actuators. Your closest peer is pushing hard into software so can you just give us a feel for A where you're spending your R&D dollars or pounds and how are you positioned from an intelligent perspective and how important is that for your customer? And then going back to the LNG and methane questions. My understanding is, you're doing extraordinarily well on new wellheads. Can you talk about the replacement market? Again, my understanding is, it's pneumatic, which has gone down the compressed air route rather than flowering methane. Does COP28 mean that that's now redundant and we have to go to electrification or are you guys having to fight hard to get into that replacement market which is clearly a lot bigger? And then last on LNG. How are you split between U.S. and rest of the world? I think it's partly Maggie's question. It feels to me like the U.S., any slowdown which might be coming but probably won't be, will just be replaced by rest of the world and I understand you're stronger in rest of the world than in America or not?
Kiet Huynh: Okay. I'll try and unpack all of that. So intelligent flow control. So, what we want to be able to do is have intelligent actuators that can help our customers identify what's going on in terms of the actuation, and therefore, the control of the flow, and that's what we're putting our time into. We're not looking at the DCS as it were to control the whole system. You can almost think of our systems as edge devices to connect into the DCS, and that's where we're putting a lot of our investment. Hopefully that answers that one.
Andrew Douglas: In terms of where are you competitively on that intelligent flow which are not an easiest?
Kiet Huynh: I would say that, we are ahead. We launched our Intelligent Asset Management system. I think our competitors have similar offerings out there, but with being the leading product, I would say that, our product is the best and we have a very strong RSS network as well.
Jonathan Davis: I think with the combination of our site service network and the predictive element of our Intelligent Asset Management, I think those are the 2 differentiators for many of the competition. It comes back to having the leading electric actuator and this again is really about electric actuators, and having had the ability to capture data for 30 odd years within those devices. So that informs the algorithm that gives us the better predictive capability.
Kiet Huynh: And then on the methane, so on the wellheads, we're making really good traction. Further downstream of the wellheads on the production site are, let's say pneumatic actuators, and one way to solve that is to use compressed air. However, that is inefficient. But if you have got a well site which is running, typical lifespan of a well site is 5 years or so, or maybe 7 at max and 80% of the oil is gone within 2 to 3. So actually the easiest way is just to convert to pneumatics for existing. However, if you're building a new, then it's a lot easier and better to put electrics on. And so with the announcements that like I said on COP and the EPA rules, we believe that that will just help us or help the acceleration of the electrification. So it's an enabler for us.
Jonathan Davis: And that was sort of what was built into the slide we presented at the Capital Market Day, with all the blobs on in terms of those we expected to convert and those we probably didn't.
Kiet Huynh: And in terms of LNG, I think LNG, U.S. is the biggest, will be the biggest source of LNG. Second is Qatar. And so I don't see, I don't anticipate any issues there. What we should be aware of though is whilst the LNG is produced in Americas and the plants are there, a lot of the equipment and valves are coming from Europe. So we are very strong in Europe, and we have a lot of relationships with the valve makers in Europe. So that's why we feel confident. So whilst the end destination is America, the actual point of sale is in Europe.
Jonathan Hurn: It's Jonathan Hurn from Barclays. Also have 3 questions, please. Firstly, if we can just come back to the mix, but look at it on a group level, I wonder if you could just talk a little bit about the order book mix that we have going into '24. Is that more geared to electric versus pneumatic versus '23? And just relate to that. I'm sorry, if I missed it, but just in terms of CPI, did you say the mix was going to improve in '24 versus '23? That was the first one. The second one was just on the margin of Oil & Gas, obviously north of 25% peak, electric actuators obviously going to continue to come through. Where do you think ultimately the margin of that division can go? Could it go up into the high 20%s? And then lastly, just in terms of completion and flow back, obviously it's a market you're targeting. In terms of the product that you sell into that, do you have something that adequately tackles what is needed, or do you think you have to put more R&D into to make a viable product to capture the market share there? Thanks.
Jonathan Davis: Yes. So I think in terms of margin within the order book, I don't think it varies dramatically in terms of product split versus what we've seen in the second half of '23. So I wouldn't expect that to drive anything as we look at revenue in '24. And in terms of CPI mix, I think the kind of changes we were talking about were more medium term than immediate in sense of electrification. So I'm not sure that that's necessarily a driver of change in margin expectations in CPI in the short term. Do you want to?
Kiet Huynh: Yes. Completion and flow back. I think the short answer is all of our existing products are capable of delivering within that end market, within those segments and applications. So there wouldn't be any new R&D or specialist. There might be tweaks of existing products that we might need to make, but nothing more than that.
Jonathan Hurn: In terms of Oil & Gas?
Jonathan Davis: Well, is Oil & Gas at peak or will -- could it go higher? That's a hard one to answer, Jonathan. There's lots of factors within that.
Jonathan Hurn: The part of issue -- I mean, in terms of mix also.
Jonathan Davis: Well, I think structurally for the group as a whole, we're still targeting mid-20s. 23 may or may not be mid-20s in your dictionary. I don't know. So if it's not, then all the divisions may go slightly higher. I think we've seen all of them move within that -- sort of -- range of the low to mid-20s over the last few years, since we've been reporting in this structure. This is the highest, I think Oil & Gas has been in that time, which is down to some of that. I guess, there is a shift towards electric products within oil and gas because of the growth in the upstream. And that certainly is having a positive impact on the product mix side of things within Oil & Gas.
Calum Battersby: Calum Battersby from Berenberg here. Firstly, just to follow-up on Andy's question on upstream electrification. So at the CMD, you were talking about roughly 40% of the market you thought would switch from pneumatic to electric actuators. Is it right to understand the change in messaging is broadly that that number might be lower, but kind of accelerated electrification of new projects is offsetting that to get to the same growth level overall? And then second question on capital allocation. For '24, it's broadly now that free cash flow will cover dividends and the new buyback program. Should we expect that's broadly a new normal for shareholder returns until more meaningful M&A comes into the story?
Kiet Huynh: Yes. So at the Capital Markets Day, we roughly said about 40%, but we said by 2040 or something like that. So it wasn't going to be an immediate switch. It was over a long time period. And therefore, with what we've said today, that won't be changing, but that could be quicker. So hopefully that answers that.
Jonathan Davis: I think in terms of the capital allocation point, I think what you can expect is more of the same in the sense of if we do M&A, the M&A will take priority over buybacks. But to the extent we don't see M&A or the timing is pushed out, then you should expect more buybacks as cash rises to levels where we believe it's excess. And that's really the way we will continue to manage that.
Bruno Gjani: It's Bruno Gjani from BNP Paribas Exane. I just have 2 questions. The first one is just on the EPA's final rule. I guess, how final is that final rule? And is there any policy risk associated with it? Say a new party or President comes into the U.S., could we perhaps see a slower rollout? Or is it that market momentum is just heading in one direction and it's not going to serve as a meaningful risk?
Kiet Huynh: I couldn't answer you on whether it's going to be final or not. I wouldn't like to second guess on that one, I'm afraid. I mean, I don't think anything is ever final. So I think things could change going forward. I think the sentiment though in the market is to reduce emissions. So I think the sentiment is there and it will continue to take hold. I mean, a lot of our customers are trying to reduce their carbon footprint. And I think a good way of doing that is to electrify. So I think the sentiment is there. On the rules, I just wouldn't like to call that.
Bruno Gjani: Of course. And just on the investments and overhead, a bridging item, what investments are you planning for 2024? And will there be another incremental step up? Or will investment stay at a similar absolute level so actually there's not much of a bridging impact in 2024?
Jonathan Davis: I think the base level of investment will step up by about the same amount it did in '23. But in '23, there was some, well, wage inflation was significantly higher in '23 than it will be in '24, than it is in '24. I think we also had quite a step up in incentive payment payouts in '23 versus '22 that we wouldn't expect to see step up again in '24. So there's a couple of elements within the £38-odd million of higher people costs that really are not underlying movements in the base. But in terms of the continuing to add to the investment, which is largely around people within the business, then yes, that will step up again in '24 over '23.
Bruno Gjani: Got it. And just finally, on the power part of Water & Power, sales grew strongly this year at a similar level to the water business. How are you guys feeling about the outlook in 2024? What should we anticipate? And I guess, how much of Water & Power is power today as a percentage of sales?
Kiet Huynh: Yes, I think power over the last few years has been declining. Traditional fossil power, I mean, last year, we saw it level off. This year, we've seen it pick up a little bit. And I think we can expect it to be, let's say, relatively stable with some bumps, let's say, but on the whole, relatively stable. There'll be some years of good, some years of bad. But really, the water segment is the real strength within that division. And so I expect water to continue to grow. And then power is almost like on top of that, if it's a good year, we'll have very good growth. If it's not such a good year, the growth will be less, but still in the high single digits, I would say. I think water is.
Jonathan Davis: think at CMD, we split that as around 2/3 water, 1/3 power. So it's the same.
Dominic Convey: Dom Convey from Numis. Just 2 questions, if I may. Firstly, quick one. Apologies if I missed it, but what's the percentage of the CPI business that is China?
Jonathan Davis: No, I'm not sure I know that number, Dom, sorry.
Dominic Convey: Okay. No worries. And I guess, bigger picture, really, just about order book evolution from here. Clearly, over the last few years, you've seen a significant growth in that order book, which was part of the order intake, but also the supply chain issues. Is it feasible that we now see maybe a few periods of book-to-bill below one? I mean, where would you idea -- what's the optimal order book coverage, if you like, for the business going forward?
Jonathan Davis: As you will know, we don't give you an order book number.
Dominic Convey: Hence the vague questioning.
Jonathan Davis: I think what we're trying to say at this point, in terms of the order book normalization, is there is definitely scope within the order book at the start of 2024 to that to come down without us feeling unduly concerned that we've not got coverage in terms of looking forward in coming months' revenues. I think we saw the order book build from about 2019 onwards. I think if you look at the last time we gave you an order book number and you track orders and revenue thereafter, where something like £80 million was put in the order book from that last point we gave it to you. And whilst obviously, the business is now the revenue number is now significantly higher than that point in time. Therefore, you wouldn't expect the whole of that £80 million to unwind to get to normal. There's certainly half or a bit less than half of that, that if it unwound, we'd still feel we were at a normal order book. So that's the sort of thinking. Does that mean we get a book-to-bill of less than one in a year? No, not necessarily. That's going to depend on how the orders track and we'll speak more to the order book we leave the year with into the next year than actually what necessarily comes out as revenue in the current year.
Dominic Convey: Perfect. It sounds though we shouldn't be unduly concerned, if we did see a period of?
Jonathan Davis: No. And I think, sorry, the other piece that's very relevant, obviously, if we look to reduce customer lead times, which for some product sets and things like that our customers are wanting, and we've talked to you before about the ACE program, which is specifically designed with some products to shorten lead times dramatically, then we may come to a point where the order book is significantly lower, but actually that just means we're satisfying customers quicker. That can't be a bad thing.
Harry Philips: It's Harry Philips, Peel Hunt. Sorry for the coughing. Just some hopefully very simple ones, just maybe asking Dom's question a slightly different way. If I rang you up today and asked for an actuator, what would be the lead time on that? I mean, you've talked about 48, 50 weeks in the past. Is that -- quite a lot, actually? The second question would just be, obviously, working capital was great, 11% of sales, 11.4%, whatever. Is that sustainable? Obviously, I guess, you're not too worried about that, Jonathan, but?
Jonathan Davis: Well, we'd start with the credit check first, Harry, obviously, as a new customer.
Harry Philips: Yes. That sort of a few question marks there, for the incoming person. And then just in terms of the buyback, and no one else asked it, I mean, £50 million on a near £3 billion market cap, net cash of £130 million. What was the -- why £50 million? Why not £150 million to be sort of -- I mean, £50 million is 1.7% of market cap. I'm just interested in the thought process around that. It's not as if you've had this sort of huge number of acquisitions and what have you, which would give a balancing item to where we've got a pipeline and executed, et cetera. et cetera.
Kiet Huynh: Okay. Let me take the actuator one. Yes. After the credit check, what we would say to you is 8 weeks if you're in the U.K. So that's 8 weeks, if you're in the U.K. So that's gone back down to, let's say, standard times. Just to be clear, the 50 weeks or the 40 weeks was never Rotork. That was some of our competitors. So that's gone back down to, let's say, between 8 to 12 weeks, depending on the variance that you choose. So if that's normal, what we are trying to do is get that even faster through our Customer Value initiatives. So that's what you would see there.
Jonathan Davis: I think in terms of the buyback discussion, we've kicked around all sorts of ideas in terms of buyback. I think Rotork has always had a strong balance sheet. I think some of our investors who we talked to about this value the strong balance sheet, and obviously that's stood us in good stead through all sorts of bumps in the Rotork over the last few years. So I think to radically change the shape of the balance sheet would cause ripples in some circles. We obviously did a buyback previously, which was also £50 million. I think what we're trying to establish is that the buyback is a regular feature at the appropriate time when we think we've got excess cash. And I suppose sticking with the £50 million value helps that thought process around it being the regular size, but the timing will be variable, and the timing will vary dependent on not only cash generation, but also M&A opportunities, both complete and prospective. And that's the other piece that's always really hard to comment on.
Kiet Huynh: I think it's important. We're in a good position where we have enough cash to return the excess, but still retain that firepower to execute on our M&A pipeline, which is a healthy pipeline. So what we don't want to do is do the £150 million as you suggest, and then not have the right financial flexibility to be able to convert on our M&A pipeline. So that £50 million was the right balance to do both.
Jonathan Davis: And just to be 100% clear, clearly for the right M&A opportunities, we will borrow. It's not that we're dismissing that, it's just a question of sticking to a formula that everyone understands.
Andrew Douglas: I actually don't have any more questions. Jonathan, on behalf of all the analysts in the room, and for those who've followed Rotork for the last 14 years, 28 analyst presentations, I just wanted to wish you well on your next leg of your career and a bit of retirement. I suspect going into being plural is quite a nice gig. It means you don't have to answer stupid questions from all those lot. I think it's fair to say you've always been upbeat. You've always had this uncanny ability to answer a detailed numbers question without actually giving us an answer, or any detail. It's a skill, it really is.
Jonathan Davis: Maybe a career in politics.
Andrew Douglas: Yes, absolutely. But it's been a pleasure and good luck with the next stage of your career.
Jonathan Davis: Thank you very much, Andy.
Andrew Douglas: Pleasure.
Jonathan Davis: Thank you everyone.
Kiet Huynh: Okay. Are there any more questions? Thank you for that, Ian. So, thank you very much for your attendance and your attention today.